Operator: Good morning, and welcome to the Alamo Group Inc. Third Quarter 2025 Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Edward Rizzuti, Executive Vice President, Corporate Development and Investor Relations. Please go ahead.
Edward Rizzuti: Thank you. By now, you should have all received a copy of the press release. However, if anyone is missing a copy and would like to receive one, please contact us at (212) 827-3746, and we will send you a release and make sure you are on the company's distribution list. There will be a replay of the call, which will begin 1 hour after the call and run for 1 week. The replay can be accessed by dialing 1 (877) 344-7529 with the passcode 5234040. Additionally, the call is being webcast on the company's website at www.alamo-group.com, and a replay will be available for 60 days. On the line with me today are Robert Hureau, President and Chief Executive Officer; and Agnes Kamps, Executive Vice President and Chief Financial Officer. Management will make some opening remarks, and then we will open up the line for your questions. During the call today, management may reference certain non-GAAP numbers in their remarks. Reconciliations of these non-GAAP results to applicable GAAP numbers are included in the attachments to our earnings release. Before turning the call over to Robert, I would like to make a few comments about forward-looking statements. We will be making forward-looking statements today that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties and which may cause the company's actual results in future periods to differ materially from forecasted results. Among those factors which could cause actual results to differ materially are the following: adverse economic conditions, which could lead to a reduction in overall market demand, supply chain disruptions, labor constraints, competition, weather, seasonality, currency-related issues, geopolitical events and other risk factors listed from time to time in the company's SEC reports. The company does not undertake any obligation to update the information contained herein, which speaks only as of this date. I would now like to introduce Robert Hureau. Robert, please go ahead.
Robert Hureau: Thank you, Ed. I'd like to thank everyone for joining our third quarter earnings conference call. We appreciate your continued interest in the Alamo Group. Before we get started, I'd like to take a moment to say how excited I am to be part of such a great company to have the opportunity to lead it through our next chapter of growth. The Alamo Group has some of the most talented and passionate employees, a portfolio of high-quality, purpose-built products that are loved by its operators, brands that are leaders in their respective markets and a business model that is highly cash generative. In addition, A key pillar of the company's business model is its strategic positioning in attractive end markets, including reliable, municipal and contractor spending on infrastructure maintenance in public works with additional upside in other end markets such as tree care and land management. In my view, it's a really exciting time to join and be part of the Alamo Group as we shape its future and continue to create value for investors, employees, our customers and our operators. Overall, the results for the third quarter were mixed with continued strong performance in our Industrial Equipment division and continued weakness in the Vegetation Management division. Let me start by sharing a few highlights for the quarter. Net sales were $420 million, up 5% from the third quarter of 2024. Adjusted net income was $28 million, down 3% compared to adjusted net income of $29 million in the third quarter of 2024. Adjusted EBITDA was $55 million or 13% of net sales compared to $55 million or 14% of net sales in the third quarter of 2024 and operating cash flow for the 9 months ended September 30, 2025, was $102 million or 116% of net income. While I'm not pleased with the results, I am optimistic and confident in the future performance of the company and the opportunities ahead. I'll turn the call over to Agnes to review our financial results in detail. When she's finished, I'll come back and share thoughts on a number of items, including a deeper look into the performance of each of our divisions, our go-forward strategy and some thoughts on capital allocation. Agnes?
Agnes Kamps: Thank you, Robert. Good morning, everyone. Net sales for the third quarter of 2025 were $420 million, up 4.7%, including organic growth of 3.4% compared to the third quarter of 2024. Gross profit for the third quarter of 2025 was $101.7 million, up 0.8% compared to the third quarter of 2024. Gross margin for the third quarter of 2025 was 24.2%, down 90 basis points compared to the third quarter of 2024. The degradation in gross margin was primarily due to unforeseen production inefficiencies related to the consolidation of manufacturing facilities in the Vegetation Management division and due to tariff costs in both divisions. Regarding the production inefficiencies in the Vegetation Management division we expect this to continue through the fourth quarter and into the first quarter before we start to realize the expected benefit. Regarding tariff costs, during the third quarter, we raised prices further to mitigate the impact of tariffs going forward. In addition, we are continuing to focus on a variety of supply chain initiatives to reduce costs and manage our supplier base. Selling, general and administrative expense or SG&A expense for the third quarter was $59.9 million, up 5.6% from the third quarter of 2024. SG&A expense in the third quarter of 2025 included $3.3 million related to the CEO transition, acquisition and integration costs. Excluding these items, our SG&A expense as a percentage of net sales in the third quarter of 2025 would have been slightly lower than the third quarter in 2024. Interest expense for the third quarter of 2025 were $3.9 million, down from $4.9 million in the third quarter of 2024. The reduction in interest expense was due to lower average outstanding debt. Interest income for third quarter was $1.5 million, up from $0.6 million in the third quarter of 2024 due to higher average cash balances. For the 9-month period ended September 30, 2025, our effective income tax rate was 25.3% which was higher than the effective income tax rate for the 9-month period ended September 30, 2024, and the full year 2024. However, the 2025 effective tax rate of 25.3% is in line with our current and long-term expectations. Adjusted net income for the third quarter of 2025 was $28.2 million, down slightly from adjusted net income of $28.6 million for the third quarter of 2024. Adjusted earnings per share on a fully diluted basis for the third quarter of 2025 was $2.34 compared to $2.38 for the third quarter. Now I'll share some comments regarding the results for each of the divisions. Net sales in the Industrial Equipment division for the third quarter of 2025 were $247 million, representing an increase of 17% or 14.5% organic growth compared to the third quarter of 2024. This performance reflects another record quarter for the Industrial Equipment division with strong sales across all groups. Adjusted EBITDA as a percentage of net sales for the third quarter of 2025 was 15.5% compared to 15.7% for the third quarter of 2024. Net sales in Vegetation Management division for the third quarter of 2025 were $173.1 million, a decrease of 9% compared to the third quarter of 2024. The decrease in net sales reflected persistent weakness in certain end markets such as tree care and agriculture and some production challenges associated with our consolidation activities, as previously noted. Adjusted EBITDA as a percentage of net sales for the third quarter of 2025 was 9.7% compared to 11.5% for the third quarter of 2024. Moving on to the balance sheet. We maintained a strong financial position and flexibility to support ongoing initiatives and future investments. At September 30, 2025, total assets were $1.595 billion, up $113.6 million from the third quarter of 2024 driven primarily by higher cash and cash equivalents. Accounts receivable decreased $21.4 million to $335.2 million, reflecting an improvement in days sales outstanding versus prior year third quarter. Inventory increased slightly by $6.2 million to $378.2 million to support growth in the Industrial Equipment division. However, days inventory on hand improved year-over-year. Accounts payable increased $32 million to $129.3 million at quarter end. As a result, cash provided by operating activity for the 9 months ended September 30, 2025, was $102.4 million, a healthy conversion of 116% of net income. Cash used in investing activities for the 9-month period ended September 30, 2025, was $41.9 million and reflects cash used in acquisition of Ring-O-Matic and $25.4 million used for capital expenditures. The increase in capital expenditure compared to the same period in prior year was primarily due to expansion of one of our manufacturing activities in the industrial management division. Cash used in financing activities for the 9-month period ended September 30, 2025, were $23.6 million reflecting repayments of principal on our long-term debt and dividends paid. As of September 30, 2025, our total debt was $209.4 million. In addition, as of September 30, 2025, we had $244.8 million in cash on the balance sheet and $397 million available on the revolver facility. To conclude, I would like to emphasize our commitment to delivering long-term value to our shareholders. We are pleased that our Board has approved a quarterly dividend of $0.30 per share. As we move forward, we will remain focused on driving growth and optimization of our operation. Thank you. I'll turn it back over to Robert.
Robert Hureau: Thank you, Agnes. Let me start by providing a little more color on the operating performance for each of our divisions. First, the Industrial Equipment division. As Agnes mentioned, the performance in the division continued to be quite strong with net sales up 17% compared to the third quarter of 2024. The third quarter was the seventh consecutive quarter of year-over-year double-digit net sales growth for the Industrial division. Net sales in each of our excavators and vacuum trucks, snow and sweepers and safety groups performed well during the quarter. The net sales growth of 17% was due to several factors, including price, market growth, market share gains and the acquisition of Ring-O-Matic. I'd like to share some thoughts on each. Regarding price, during the year, many of the business groups executed fairly typical annual price increases. In addition, many of our businesses took price again more recently, as Agnes mentioned, to mitigate the impact of tariffs. As it relates to tariffs, our aim in both divisions will be to pass these costs along to customers and to continue availing ourselves of applicable tariff exemptions. In tandem with price increases, we continue to focus on local sourcing and supplier diversification where appropriate. Regarding our core end markets, they continue to be resilient. Our municipal and contractor exposure to end markets such as infrastructure, public works and utilities generates good, solid long-term growth. To help put this in perspective, state and local spending over the past nearly 20 quarters has grown at a healthy compound annual rate of approximately 5%. Regarding market share, we continue to demonstrate our leadership position in win share in certain businesses. Our teams have been doing great work, innovating our products and partnering with good dealers and customers. Let me share a quick example of what we mean related to product innovation. We recently showcased our new non-CDL vacuum truck at the Utility Expo in Louisville. This product was intentionally designed to accomplish several goals with a high level of standardization. The product can be built either as a hydro excavator or as a sewer combo cleaner. Additionally, both modules will fit into a container for economic international shipping, where we can -- where they can be updated on a chassis in country. This is a great example of how we can attract new customers and penetrate deeper with existing customers through product innovation. You'll continue to hear more about product innovation as a theme going forward. Lastly, as you know, we completed the acquisition of Ring-O-Matic in the second quarter of this year. While small, it contributed to the year-over-year growth in net sales. As a reminder, Ring-O-Matic produces trailer-mounted vacuum equipment. The addition of this type of product nicely rounds out our product offering in this attractive end market and continues to strengthen our leadership position. As I mentioned, the Industrial Equipment division has delivered double-digit growth for 7 consecutive quarters. Looking forward, however, we don't expect that double-digit pace of growth to continue. We expect it on an organic basis to return to more moderate but still attractive levels. During the third quarter, net orders were down year-over-year, resulting in a book-to-bill of less than 1. That book-to-bill reflects some lumpiness in the sequential order pattern, some intentional reduction in our lead times through improvement, improved manufacturing throughput and a little bit of cooling in the end markets. The early order pattern in the fourth quarter has started off in a reasonable position, and we have a healthy level of backlog in the division. Overall, we're pleased with the Industrial Equipment division's performance. Now let's discuss Vegetation Management division. As Agnes mentioned, the performance in our Vegetation Management division continued to experience weakness. Net sales were down 9% compared to the third quarter of 2024. Specifically, net sales in each of our tree care, government mowing and agricultural groups were down. The net sales decline of 9% was due to several factors, including the end markets and challenges with the consolidation of 2 of our facilities, partly offset by pricing. Regarding pricing similar to the Industrial Equipment division, many of the Vegetation Management businesses increased price during the year and more recently increased price again to mitigate the impact of tariffs. Regarding our core end markets like land management, agriculture and tree care, they continue to show weakness. And as a result, sales volumes were lower. Regarding the consolidation of our manufacturing facilities, I'd like to highlight a few items. Recall, we launched an initiative in the second half of 2024 to consolidate various facilities. The objective of the consolidation is simply to remove fixed costs, make them more productive, particularly given where we are in the end market cycle. These are absolutely the right initiatives. We made some progress in prior quarters. That progress was primarily centered around the winding down of operations in the originating facilities and a reduction in workforce. The progress during the third quarter was a bit more challenging. Those challenges centered around production activities in the manufacturing locations to which the operations were moved. These are complex products and complex processes. These types of consolidation simply take time. In addition, these activities were occurring while the end markets continued to decline. Both our net sales and operating margins were impacted in the quarter. As we sit today, we expect to make progress on these initiatives going forward, but it will take 1 or 2 more quarters before operations in those specific facilities will normalize and yield the full operating efficiencies we anticipate. Now at the same time, net orders in the Vegetation Management division in the third quarter of 2025 increased double digits on a percentage basis compared to the same quarter in 2024, and the book-to-bill was a solid one. The early order pattern in the fourth quarter is also off to a reasonable start. In addition, if the Fed continues to reduce interest rates, it's possible we'll see stabilization or improvement in the end markets in 2026. Overall, we're not pleased with the Vegetation Management division's performance in the quarter, but are confident we'll finish the consolidation activity and drive margin improvement as originally planned. I'd now like to share some comments regarding the broad framework of our long-term strategy. There are 4 pillars of the strategy in which we'll focus and devote resources: one, people and culture; two, commercial excellence, three, operational excellence; and four, acquisitions. Let me share some color on each. First, as it relates to people and culture, we intend to continue building on the good work that's been done around developing a safe and engaging work environment, investing in our future leaders and developing a mindset of continuous improvement with a truly engaged workforce, we believe we can outperform over the long run. Second, as it relates to commercial excellence, our emphasis will be on winning through product innovation and catering to the needs of our customers and the users of our products. In addition, expect emphasis on higher-margin profit pools, such as parts and service. And third, as it relates to operational excellence, we intend to drive margin improvement through a more efficient, lean-oriented manufacturing platform and a more cost-effective, high-quality focused supply chain. Lastly, acquisitions. Let me address this and share some thoughts in the context of a broader capital allocation framework. First, our primary use of cash will be aimed at acquisitions. In general, our interest will be more focused on tuck-in type acquisitions that can be accretive to organic revenue growth and EBITDA margins. Executed at attractive multiples in end markets that are nondiscretionary, less cyclical and close to our core, have good management teams and are market leaders. This doesn't rule out larger transactions, there may be unique opportunities for larger deals that have a great strategic fit. As Agnes highlighted, we have cash on the balance sheet and capacity to use leverage in a responsible manner. Our pipeline of targets is growing. We're working to continue the flow of good opportunities and are spending our time prioritizing them. Simultaneously, we'll continue to invest in capital projects allocating these dollars between revenue-generating projects, cost reduction projects, back office areas to support long-term growth, which will be needed in various maintenance items. Capital expenditures in some years may be more or less than others, but on average, we should be running around 2% of sales. In addition, we expect to continue with the dividend, which today is running around $15 million annually or $0.30 per share per quarter. And lastly, recall that in 2024, the Board approved a $50 million share buyback program. While this program is still authorized, we are very mindful of a growing and exciting M&A pipeline and the limited float of stock we have today. Before I conclude, I'd like to share with you a few thoughts on our financial targets. It's important to understand these are long-term through-the-cycle targets. First, sales growth of 10% plus, including the effects of acquisitions. Second, adjusted operating income margins of around 15%. Third, adjusted EBITDA margins of around 18% to 20%. And finally, fourth, free cash flow as a percentage of net income of 100%. We believe these targets are achievable and will demonstrate our leadership within the markets we compete. We look forward to updating you on our progress in the future. In summary, I'd like to say that I'm incredibly excited about the road ahead, confident in our ability to unlock the full potential of the Alamo Group. This concludes our prepared remarks. Operator, please open the lines.
Operator: [Operator Instructions] The first question comes from Chris Moore with CGS Securities.
Christopher Moore: Maybe we can start on the vegetation margin. So it sounds like we'll be improving, but still challenged Q4 into Q1. I guess my question is, can you get back above 10% operating margins on vegetation without meaningful revenue growth at this stage.
Robert Hureau: Yes. We definitely can. Let me emphasize a few points that we made in the prepared remarks, and then I'll provide a little additional color. So first thing I would say is that we believe we can get to operating margins -- adjusted operating margins of 15%, adjusted EBITDA margins of 20%. I think there's a couple of steps along the way. First is as we get the production efficiencies improved over the next quarter or 2, we should see a 200, 300, 400 basis point improvement on that basis alone. In addition, we'll pick up some volume leverage as those markets stabilize and/or recover, hopefully towards the back half of 2026. And then in addition, I think there's 200 to 300 basis points of improved opportunity on both sides of the house with respect to procurement savings, improved parts and service as a percentage of the total business and overall lean efficiencies. So that was a little bit of a long-winded way of saying, definitely, yes, we can get those margins back. I'm confident it will take us 1 or 2 quarters to drive those efficiencies in the vegetation business in those specific facilities that are undergoing the consolidations.
Christopher Moore: Got it. Very helpful. And maybe for my follow-up, just industrial orders seem okay but moderating a bit. Within the segment, are there specific areas that are a little more challenged than others that are staying strong? Or just kind of any insight or color you could give to the industrial kind of segment outlook?
Robert Hureau: Definitely. First thing I'd say is on a year-to-date basis, industrial orders are still up. They're up single digits. We're generally pretty pleased with that in the quarter. As you noted, they were down. I would point to a couple of the groups. First, within excavators and vacuum, net orders down in the quarter, but they are lumpy. If you recall and you go back to the second quarter of this year, you would see a fairly significant robust order pattern. It came off of those highs in the third quarter. But again, on a year-to-date basis, that group is up double digits. Snow was also down in the quarter. But here, not only are the -- is the order pattern -- can the order pattern be lumpy. It's lumpy on an annual basis take, for example, parts of the Canadian market, certain regions in the Canadian market issue contracts to service providers on an annual basis every several years in 2025, only one of those contracts was given out in this particular region. We have several contracts being awarded in the fourth -- between the fourth and the first. And so I give that color to demonstrate that not only is it lumpy from quarter-to-quarter, but it can be lumpy from year-to-year in the snow division. Sweepers and safety were up and are up substantially on a year-to-date basis. So in the aggregate, they're down. There's a little bit of lumpiness going on here. There's some improved manufacturing throughput, which is bringing our lead times back into healthy states. That's something we feel good about. And sure, in some parts of the industrial business, there's a little bit of cooling in the end markets. We reported 17% growth in sales in the industrial segment. That's really robust growth that just over the long-term, probably will be hard to do, and you'll see those end markets cooling a bit in 2026, still healthy, still attractive, still less cyclical, but cooling a bit.
Operator: The next question comes from Greg Burns with Sidoti & Company.
Gregory Burns: Can you just talk about the state of the -- some of the channels within your Vegetation Management segment particularly Ag and forestry and tree care, how do the inventory level sit? And are you seeing any slowdown or headwinds in the ag market, given some of the trade headwinds that we're seeing lately?
Robert Hureau: Yes. So a couple of comments. First, I would say we're pretty pleased with the order pattern. On a year-to-date basis, we're up 11%. In the quarter, we were up 12%. A lot of that is coming from North America ag. So at the highest level, pleased with the order pattern. When you then break it down into some of the segments, I would say that tree care is a space that we saw a little bit of weakness in the quarter. Recall that within tree care, there are subsegments. It's really the industrial subsegment within tree care that has experienced some softness. In this space, think about these products being really large, very expensive products. These are products that would cost $1 million or thereabouts. And we're seeing some of the customers just being hesitant at this time, placing those orders still looking out given the uncertainty in 2026 with respect to tariffs and generally the macroeconomic situation. So there's a little bit of softness there. There's a little bit of softness in the government mowing, some of those customers, DOT customers, et cetera, are a little bit hesitant on placing orders. But in the aggregate, we feel pretty good about the order pattern. When we talk to customers -- customer sentiment generally as we look forward to 2026 is somewhat neutral to still a little bit cautious. Inventory levels generally across the division are in a reasonable spot. So there's nothing unusual there and order cancellations are in line with historic averages. So generally speaking, we feel pretty good, recognizing, it feels like we're certainly during the year have continued to cycle down with the end markets, but hoping that we're at the bottom here with some stabilization and maybe some growth later in 2026.
Gregory Burns: Okay. And then the margins on the Industrial segment, down a little bit year-over-year, but lower than where they were in the first half of the year. Maybe tariffs are a little bit of that. But what was the -- what are the primary drivers behind the decline in margin on the industrial side of the business?
Robert Hureau: Yes. There's a little bit of noise, but it really is mostly margin -- sorry, mostly tariffs. Recall, none in the first quarter, a little in the second quarter and they picked up in the third quarter. So when we think about tariffs, particularly as we look forward to 2026, you should think about tariffs as somewhere in the order of magnitude of a little less than 1% of sales. I'll give you an approximate level of what we think tariffs will be going forward. A little bit less than that in 2025, they spiked up a little bit in 20 -- in the third quarter outside of that, nothing really unusual. That figure that I just gave you excludes any impact from the recent news around tariffs on truck chassis. We're still looking to work with our chassis suppliers to understand what that impact might be. But hopefully, that gives you a good sense as to where tariffs will trend. I think the other thing that's important is, as we mentioned, as Agnes mentioned, we did pass price along in the quarter, not enough to cover those tariffs completely. We'll continue to work to do so along with managing our supply base, et cetera. But that really was the noise in the Industrial division in the quarter.
Operator: The next question comes from Mike Shlisky with D.A. Davidson.
Michael Shlisky: The margin goals that you outlined, Robert, I think they're a bit of a step-up from the previous CEO's goals, which were also reasonably good goals. Do you have any sense, Robert, as to how long it might take for you to get to the 18% EBITDA? And are there any truly major transformations that have to take place to get there either a large M&A deal that has very high margins or something that we are thinking of that might help close that gap there?
Robert Hureau: Yes. So good question, Mike. I think about it in steps and in phases. The first phase here is we want to return the Vegetation division margins to where they were working through some of these challenges around the consolidations. We think that will take 1 or 2 quarters. So that alone will return a couple of hundred basis points to that particular division. Secondly, I think a little bit of tailwind on the sales side, particularly in that division will be helpful and should generate another couple of hundred basis points of margin improvement. So as we look through the cycle with a little bit of tailwind, I can see 400, 500 basis points of improvement in the Vegetation business alone, which on a weighted average basis, will contribute a couple of hundred basis points to the consolidated operating margins. From there, I think there are 200 or 300 or 400 basis points of margin improvement that will come from procurement savings we had several major initiatives underway right now to drive those savings. It will come from just a bit improvement in our parts and service as a percentage of the total mix of the company think that has probably fallen off just a bit over the last year or 2. It's something we expect to put resources behind. And then a little bit another 100 or so basis points of margin improvement from really driving and shaping this continuous improvement mindset, this lean manufacturing culture, if you will. So I think we can get to 15% operating 18% to 20% EBITDA margins over the next couple of years. We do need a little bit of tailwind on the vegetation side to get there, though, perhaps not to the extent of a full recovery that we saw back in, I think it was '21, early part of '22, but we need a little bit of tailwind to get there. Does that help?
Michael Shlisky: Absolutely. And maybe to follow up on that, in a few months that you've been at Alamo. Have you -- I guess, what have you done so far to push the company towards those goals? And maybe more broadly, what has -- have you changed anything major, just more in general about how Alamo runs on a day-to-day basis? Or is that still to come here?
Robert Hureau: Well, it's been a busy first couple of months for sure. As I said in my opening remarks, I couldn't be more proud to be working with the team that we have here. We've got a great, great leadership team. We've got great brands products. I've talked to a lot of our customers. They really love our product. The #1 thing that our customers say that are important to them is the trust and the relationship and the partnership that they have with OEMs, and that is really strong with the company. So I'm super excited about that. A lot of the first 60 days or thereabout so far has been getting to know the team and understanding the business and the rhythm and getting to speak with our customers. In terms of changes, I would say one thing that was underway that we are pushing further, maybe we're accelerating it is to move from a bit more decentralization to centralization in certain key areas like procurement, supply chain, IT. We're shifting that to a much stronger centralization mode, if you will. That's critical in order for us to be able to deliver the procurement savings that Agnes and I and the other leaders in the organization see. There's a significant amount of opportunity that we're pretty excited to go after. We've engaged with some advisers to help us in that to accelerate that. And then I think the other area that I'm not sure if it's a change or not, but it's definitively an emphasis is around M&A, as Agnes highlighted, we've got significant cash on the balance sheet. We've got a significant amount available to us in our revolver, and we could go up in terms of our leverage to 2x, 2.5x or something thereabout would be very reasonable. So we've got a significant amount of dry powder. Ed and the team have been building this pipeline of really rich targets that we're pretty excited about, nothing we can share right now. But super excited around the M&A opportunity. I think if we can do 1 or 2 deals a year, as I said, they're more likely to be tuck-in type acquisitions. So let's say you're talking $100 million, $150 million of revenue a year. You're talking somewhere around $20 million to $30 million of EBITDA that we could acquire. That's pretty significant earnings growth that we can generate. And of course, we've got the cash to pay down the debt and keep it within a reasonable zone. So one, getting to know the team and getting to a good feel for the rhythm of the business; two, working to centralize some things, moving away from the decentralization mode that we've had in the past and then three, a really big emphasis around exciting M&A.
Michael Shlisky: Great. And maybe my last question. That's on the growth rate on the top line that you outlined, the 10% growth. It sounds like if you got tuck-ins kind of in mind and maybe you're thinking about a few percent there of the overall 10% top line. But then I guess that kind of leads mid-single digit or even a little bit higher than that on the organic side. What can happen there? Obviously, besides some end markets that have been down coming back, but what can really drive that after everything is kind of back to normal again? Could innovation really mean 5% organic growth that you didn't have before? How much opportunity do you think there is to innovate in a lot of these end markets these days?
Robert Hureau: Yes. I'm really, really excited about what we can do with product innovation. We just showcased a lot of our products to our Board. We just came off a number of ex positions. Really, really excited about it. Let me outline how I think about that 10% plus figure that I just shared in the prepared remarks. And keep in mind, we just printed 4.7% growth. We've had Vegetation business down for 2 to 3 years running. So that 10% plus maybe a little bit conservative, but we're going to start there for the next couple of years. I break it down loosely into 2 buckets. On an organic basis, I think about it in terms of 1% to 2% growth from pricing, maybe a little bit more depending on which way inflation goes. I think about it as maybe 2% to 3% from end markets. Certainly, that's conservative from where we've been in the industrial space today, but that would be aggressive compared to where we've been on the vegetation space. So 2% to 3% there. And then maybe another 1% to 2% in terms of market share growth from market share. That growth from market share is going to be driven through product innovation, and really catering to our customers and winning by loving our customers. Now that may add up to a slightly a bit more than 5%, but that's how I think about that organic piece today. Then I think about 5% plus from M&A. It doesn't take much to get there. It takes 1 deal, roughly at $100 million of sales to hit that number. I think that's roughly 6% growth. If I break it down somewhat equally between those 2 parts and I think you got a healthy 10% growth. If we can deliver 10% growth constant over the next 4 or 5 years, I think that's fantastic. I'd like to think we'll do better, particularly when we get that M&A engine really humming. If we can get to the point where we're doing 1 or 2 deals of that size of a year, then you're really cooking with gasoline.
Operator: The next question comes from Mig Dobre with Baird.
Mircea Dobre: Appreciate all the detail that's been covered already. Just to maybe put a finer point when we're thinking about the fourth quarter, can you give us directionally a sense for how things are supposed to be trending relative to what you've done in Q3 revenue and margin?
Robert Hureau: Yes, definitely. So I think if you look at the company's performance historically over the last 10 years or thereabouts, and you kick out some of the extraordinary growth periods around COVID. You would typically see that the first and the fourth quarter are seasonally the lower quarters. And I think you'll see that this year. So as you move from the third quarter to the fourth quarter, I would expect sales to decline somewhere in the order of magnitude of about 4% to 5% sequentially. That's seasonally driven. That would be point one. Point 2 is when you look at that or you run that math on the sales decline from third to fourth, I would expect that decrement to drop through to gross profit somewhere around 30% or thereabouts, a little bit north of what the gross margins are today. And I think that will put you in a good spot as to where the fourth quarter is likely to shape. I would not expect improvement in the Vegetation business moving from third to fourth, just yet. I think those improvements will start to come in the later parts of the fourth quarter. So seasonal adjustment down from third to fourth, with a roughly 30% drop-through through gross profit with constant or with no dramatic improvements in vegetation margins. That's how I'd characterize the fourth quarter.
Mircea Dobre: Yes. That's helpful. When we're thinking about industrial, I guess the way I'm reading your comment here is that you should not be thinking improvement in margin sequentially. If anything, it might actually be down relative to Q3. That's correct?
Robert Hureau: Well, I think you got to -- first of all, those comments I just gave were for the consolidated Alamo. I made some comments with respect to vegetation, but I was leaving that in to describe what I thought the consolidated, what we think the consolidated results will be for the fourth quarter or the direction that we would head. To your question within Industrial, I think there are a lot of moving parts. One is you might see a slight sequential decline. And with a sequential decline, you're going to see inverse leverage on the fixed cost. So you'll see compression there. But at the same time, you might see a little bit of offset as we launched price increases late in the third quarter to impact tariffs. So we'll have a full effect of that in the fourth quarter, whereas we only had a partial effect in the third quarter. Some of these things may offset, but from a long-term kind of run rate, I wouldn't expect major movements in industrial margins from third to fourth in either direction.
Mircea Dobre: No, I understand that. Really, the reason why I'm asking the question, the margin in Industrial was different than I think all of us were modeling. And you did explain that tariffs had a role to play here. It's just not clear to me in terms of the -- from a near-term perspective as to what the impact of some of the offsets pricing that you talked about are going to be. I mean we used to talk about the exit run rate for this segment to be 15% operating margin. And that clearly seems to be off the table, but the question is, are we really looking at 12%, 13% operating margin in the fourth quarter? Or can we actually get something that's a little bit better than that.
Robert Hureau: Yes. I think we're in that ZIP code in the fourth quarter. I think as we look to 2026, we'll start to drive those improvements in operating margin that I highlighted. But I think in the very near-term, as we move from third to fourth, we're in that ZIP code that you described.
Mircea Dobre: Very well. And then maybe a clarification. When you mentioned the hundred basis points of sales as impact from tariffs into 2026. Presumably, that is a gross number, so that is before any mitigation or offsets. Help us maybe understand that. Also the way I'm kind of thinking about it is that the year-over-year impact is going to be disproportionately tilted towards the first half of the year. And as far as offsets, how do you think that's going to start flowing through? Is this -- again, is this something that can be done relatively quickly? Or do we need to adjust our expectations for the full year '26 and then maybe hope that things get better in '27?
Robert Hureau: Yes. So good question. Let me try to frame it a little bit and then just keep me in the fairway. So A little bit less than 1% of sales would be the expectation, the gross expectation for tariffs in 2026 before considering any impact from the recently announced tariffs on truck chassis. We're still working through suppliers on that. As you move from the third to the fourth quarter of this year, I think it will be largely neutral. We saw a bump or a spike in the third quarter. I think that was just ramping up. We then launched price increases late in the quarter to mitigate that. So I think going forward, we should probably be a little less than covering the tariffs moving into 2026. So a smidge of a major margin degradation from tariffs as we look forward. But I can say, at the same time, we're doing some pretty significant work around procurement and the supply chain making sure we get our fair share of the ag exemptions that are available to us. We continue to work those. We continue to work with suppliers. We've got a significant team ramping up to drive procurement savings. So I would not expect from '25 to '26 any significant margin degradation from tariffs alone. Yes, in the first part of the year, you're going to see a little bit more of that because there was none in the first quarter of 2025. Does that help?
Mircea Dobre: That's very helpful. My final question is more conceptual. Again, sticking with industrial. Look, it's pretty clear that the vegetation portion of the business is at a cycle bottom. Orders are already getting better, and that's probably going to pick up in 2026. We're seeing that with small tractors, maybe lower rates are going to have to help your forestry business. So that part of the business seems to have reasonable visibility. But in industrial, this is where, at least to me, things are a little bit trickier because we have seen very good demand over the past few years. And there is a question as to the sustainability of this demand in the context that a lot of the stimulus dollars that have been allocated post-COVID have been frankly spend. And now we sort of have to ponder where we are in terms of the needs or the various replacement cycles that these municipalities have for various types of products that you sell in the segment. So kind of a complicated question, I guess, but what is your perspective on the sustainability of demand in this segment. And as you think about your goals that you have outlined, which are reasonably ambitious, what are some of the levers that you feel are within your control to be able to get this segment to perform in the kind at the sort of level that you have outlined?
Robert Hureau: Yes. So big broad question there. Good question. We're thinking a lot about it. The first thing that I would say is I think you're spot on with respect to the way you're reading the end markets and the way we think about it. We've had tremendous amount of money inserted into certainly the U.S. economy coming out of COVID around the infrastructure or from the Infrastructure Act, Job Reduction Act, et cetera. That has poured a lot of money into the economy and boosted it. And you can see it in the results, we've grown, I think we said 7 consecutive quarters of double-digit growth, 17% print in Q3. That's extraordinary performance. I think that as we look forward, that will slow. I think those end markets are still really, really attractive end markets. They're less cyclical. They're longer cycle in nature. So we certainly love those end markets. I think the really interesting thing is, there are pockets within that business that also are really exciting that may surprise on the upside. So take hydro excavation as an example. This is something where there are state and local mandates driving the demand for the need for these types of products, which we sell. The penetration in that market is still fairly low, but the acceptance is growing quite rapidly. It's supported federally by OSHA. You see a lot of movement you see from an environmental perspective, those types of products are desired and demand. So you take that submarket within the, let's call it, excavation of vacuum group section within the Industrial division. You're going to see outsized performance there. I think a lot of the third-party data would suggest that's got 6%, 7% annual growth rate demand behind it. That's really exciting stuff. That's one pocket within this. I think the second thing other than the drumbeat around product innovation that we're going to have is M&A, right? I think we can target very attractive companies that have above-average EBITDA margins that will be accretive to our profile. So all of those things really -- we're really excited about even if the broader industrial end markets cool a bit as we roll off some of this heavy infrastructure spend. It's still really an exciting time to be part of Alamo.
Mircea Dobre: That's super helpful. I look forward to seeing you in Chicago next week.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Robert Hureau: Thank you all for participating, and it's a great time to be part of the Alamo Group. We look forward to speaking with you again.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.